Operator: Good day, and welcome to the Investor and Analysts’ conference call for SES Full-Year 2014 Financial Results Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Mark Roberts. Please go ahead sir.
Mark Roberts: Thank you very much, Theresa. Hello everybody. Good afternoon, or good morning, wherever you’re from listening. I am Mark Roberts, Head of Investor Relations and welcome you to this SES full-year 2014 results call. Karim Sabbagh, our President and CEO; and CFO, Padraig McCarthy are going to discuss the development in the period, referring to the presentation which was distributed this morning with the announcement. This is also available on our website if you don’t already have a copy. Following that, we’ll be pleased to take your questions. Now, once more I’ll kindly remind you to take note of the Safe Harbor statements on the final page of the documents. And now I hand over to Karim.
Karim Sabbagh: Thank you, Mark. Welcome everyone. 2014 was a productive year with significant top line growth, accelerated EBITDA performance, thanks to our continuous focus on operational optimization, and most importantly, a faithful execution of our strategy. First, accelerating the globalization for our business. And second, differentiating our capabilities across the four market verticals; video, data, mobility and government. 2014 was also a springboard year for O3b, which is now off to an excellent start. As noted on Page 1, we continued to grow our core video business and have set the stage pretty well for the next generation video services. Data and mobility have become important elements for our strategy, as we think through the next generation data applications and how to best serve clients regionally and globally. And this is evidenced by our market wins, as recently announced, as well as our recent investments. Mobility has been main area of high acceleration, again as evidenced by our market wins. And notwithstanding the market headwinds, our government business has gone through a reset mode with an accelerated pace of winning new business in the U.S., as well as co-developing customized programs internationally. Moving onto Page 2 the key takeaway is one of demonstrated goal on constant exchange basis of 4% and 5% of revenue and EBITDA level respectively. Importantly, if there is above profitable growth. Decent point, as you look into the progression of our channels count in the detailed press release, you will note that this advancement rate is commensurate with our revenue progression in general and this is quite differentiated in our industry. Next on Page 3, there are three important points. First, Europe continues to demonstrate resilience and growth. This was achieved through new commitments with tier-one long-standing clients, such as M7 and ORF, along with continued investment for our services business including HD+. Second, international remains our [indiscernible] an 8.3% improvement, driven by our four verticals. This momentum was carried into the closing days of last year as we finalized a multiyear agreement with Airbus Defense and Space, covering the SES fleet and services for the expansion of their business in Africa. And this award is now referenced in our press release covering the full-year results. As you think about international, I do appreciate that it now represents 29.2% of our top line and operating margin is improving along the way. Third, North America presented us with distinct challenges in 2014, and the SES teams on the commercial side, as well as the U.S. government side in a strong job generating new opportunities and winning new business at a much higher phase than previous years. This does not take away the headwinds that we have faced but certainly was a concern of mitigating factor. Case and point on the multiyear, multi-satellite agreement with Global Eagle Entertainment for aeronautical connectivity and WIN-T U.S. government award. Our strategic principles on Page 4, which we presented in details back in June of 2014 during the Investor Day are affirmed here too. First, we remain infrastructure-centric business with differentiated service-related capabilities, as these generate considerable pull-through as Padraig will explain later. Connected station power strategy we launched in 2014, four new video neighborhoods bringing to bear all these capability, i.e., infrastructure and services. Second, we’re continuously adapting our satellite infrastructure and solutions to the markets we serve. As an example, three of the latest satellite programs use hybrid designs to address multiple verticals. We are also nominally introducing digital processing capability to best serve the applications, and we’re also expanding the scope of our services, for example for SES Platform Services and TechCom to cater for international clients. Third, and as we think about our strategies important to note the total of six program we launched since January 2014, with an emphasis on emerging markets and an acceleration applications and we’re doing all of this within our financial framework and the capital investment plans that has been presented by Padraig over the past two years. As we look at the progression for our channel count in 2014 as exhibited in Page 5, we continued to advance in a way that this commensurate with our business. And we’re doing that by focusing on HD as the better stepping stone to Ultra HD. Note, that we don’t just want to grow our channel counts with no regard to revenue, as this is not compatible with our guidelines of profitable growth. Page 6 and 7 profiles a high level, two of our newest programs as announced last week. The key takeaways are; one, serving the acceleration of our global business, in this case, Latin America. Now, as I focus on Latin America today, bear in mind that SES-12, which is an expanded version of SES-14, as announced back in July 2014 effectively targets Asia Pacific. Two, and as I go back to the mention of SES-14 and 15, these programs serve new application through their hybrid designs, combining wide beams, as well as high throughput spot beams, addressing next generation data, mobility and government applications. And three, we’re doing all of that while engaging with our clients upstream the thinking about and design of the new programs. We think that we have an infrastructure that is better geared for future proofness and a program that is delivering significant upfront commercial commitments. Page 8 presents, for the first time the new SES-16 GovSat program we are undertaking as a joint venture with Luxembourg government. This satellite is dedicated to defense and security applications, with an emphasis on major requirements, benefits from high-powered, global and fully steerable beams using military frequencies, X-band and military Ka-bands. The program has already achieved significant upfront investments. The 2014 recap would be incomplete without the review of our services businesses as outlined on Page 9. We scale up the year of our infrastructure capabilities and continue to do so as addressed by the six new programs launched since the start of 2014. In parallel, we continued to develop our services capabilities, particularly in the areas of platforms and solutions, and this provide us with a unique position, where the secure quality infrastructure is further enhanced by our related services. As a good example, as the media playout platform that has served tier-one growth customers over the years, which we now have expanded in terms of capabilities in order to serve linear, as well as non-linear offerings, as recently evidenced by our Sky [indiscernible] on their online platform. The same could be said of our government business, where our multiyear wins with Pathfinder and WIN-T demonstrate the holistic approach combining infrastructure and services. Now do bear in mind that when we talk about services, this is an area of the business that generates in excess of US$200 million in terms of pull-through for our infrastructure. So it’s very important element for our strategy. Beyond our GEO consideration, Page 9 brings us up to speed on what we view as the company had a springboard year in 2014. We launched eight new satellites bringing the O3b consideration to a total of 12 and started operation in September 2014. The feedback from our clients regarding the super high throughput and low latency offering was summarized by them in two words, it’s a game changer. In fact, I invite you to refer to the link that is embedded on Page 10, which in fact is a testimonial from one of the O3b clients. 2014 will be the first year of operation of O3b, and in fact we expect the company to breakeven at the EBITDA level by the end of this year, early year. As a reminder, O3b delivers connectivity to service providers, i.e., it is a B2B market. So the consideration before just around 8,000 kilometers and with a tropical arc of plus or minus 45 degree latitude, hence covering the most populous regions in the world where the service is quite critical. This is a unique business model with vis-à-vis satellite platforms whether in GEO, MEO or even other hypothetical considerations. Importantly, the major of the B2B business as well as the technology in places O3b in differentiated manner today and in the future. I’d like to conclude my briefing on Pages 11 and 12. I want to recognize the relentless innovation of our technology and development teams, as well as our industrial partners in providing SES over the course of 2014 and 2015, with differentiated technical competence. Most of our programs now combine electrical propulsion, hybrid designs with high throughput narrow beams, along with transitional wide beams across a number of frequencies, plus onboard digital processing to match the requirements of future applications. And we’re doing all of that with enhanced cost efficiency at a much faster pace of development and well within the SES stated capital investment plan. All in all, we are considerably scaling up our international coverage with more of 80% of the new incremental capacity introduced since the start of 2014 and through end of 2017 targeting emerging markets and we’re adding on top of this 36 gigahertz of high throughput capacity. So in conclusion, we’re setting the foundation for internet growth. Padraig, over to you.
Padraig McCarthy: Thank you, Karim, and good afternoon, everyone. So starting with Slide 14, and the year-to-date financial highlights. Revenue as reported grew 3%, with reported EBITDA growing 4.6%. At constant FX, revenue grew 4% and EBITDA 5%, both fully in line with our updated guidance. Continued operational optimization contributed to the 74.4% EBITDA margin, which results 110 basis points or 70 basis points at constant FX. The profit of the Group grew 6%, reflecting a good performance of the cost line below EBITDA, mainly financing costs and taxes, and we will cover these points later. Now on leverage, although the net-debt-to-EBITDA at 2.77x showed a slight reduction versus prior year, operationally it improved 17 basis points, offset by the U.S. dollar FX impact on debt of 15 basis points. The latter is timing only, as the strong dollar also benefits EBITDA over time. Moving onto Slide 15 and now looking at the revenue walk in more detail. So firstly, we have, as always, a small adjustment in this case for FX and scope change. And from here we see a 4% constant FX growth. We recorded good growth in Europe of 9.1%. This was both in infrastructure with the sale of eight transponders that was a significant contributor, along with new DTH contracts, and we also continued to see strong growth in European services and mainly in HD+ business, the HTS Platform Services business and our consultancy business, TechCom. North American declined 13.5% being negatively impacted by the ongoing U.S. budget sequester, which continues to effect renewals and contract down-scoping. Although I would like to stress, and as Karim also said, we did see a very good pick up of new business during the last part of 2014. In the international region, constant FX revenue grew 8.3%, reflecting the full 12 months contribution of SES-6 versus 5.5 months last year, and the commercialization of SES-5 and SES-8. In fourth quarter of 2014 international revenues also benefited strongly from the contracting of ASTRA 1G to perform an interim mission. So if we turn to Slide 16, we can speak of fleet utilization. The number of available transponders increased by 47 or 3.2%, and this is new satellite capacity coming into operation. The overall number of utilized transponders grew by 1.4% or net 15 transponders, driven by additional capacity contracted for video transmissions in the European and international regions. The net utilization rate on 15 transponders is after deducting six transponders, which were reverted due to the reduced activities of the U.S. government customers. The six reverted transponders were split evenly between the North American and international regions. And the Group utilization rate at the year-end of 2014 was 72.7%. And this was slightly down compared to the end of 2013, as new capacity has become available. Moving onto Page 17 where we see similar walk on EBITDA. So here the 5% increase at constant FX was largely due to the increase in revenue, which essentially flowed through to EBITDA and the operating expenses increase was minimum. The 1.3% increase in operating costs was due to the variable cost of sales associated with the growth of our services revenues and both developments contributed to the increase in the EBITDA margin. And speaking about margins, and moving onto Slide 18, the infrastructure margin increased from 83.4% to 84.4% with services declining slightly from 17.5% to 16.6%. Now on the services EBITDA margins, just to remind you, this is after charging for the transponder capacity purchase from the infrastructure business. This capacity which we call the services, pull-through, was an important road driver for infrastructure sales with 12.2% more pull-through capacity versus 2013. This development was also quite important to the overall EBITDA margin, because of course with this development we replaced turnkey [ph] cost with internal capacity. Moving to Slide 19 and a few words on the lines below EBITDA, starting with depreciation. While this came in at the lower half of our guidance range, the increase to EUR 491.6 million is mainly due to the continued expansion of the global fleet and a small impairment taken in respect of the recent solar array failure on AMC-15. Net financing charges reduced by 10.7% with the positive factors of lower interest costs, positive FX gains and lower value adjustments, offsetting the lower capitalized interest linked to the lower CapEx. The refinancing activities also during 2014 reduced the average interest rate to 3.8% and extended maturity to over eight years, and also resulted refinancing the U.S. dollar borrowings now represent approximately 42% of the total Group borrowings. The share of associates loss was in line with our expectations at EUR 39 billion and principally related to the Group’s 45% interest in O3b networks. And this reflects the commencement of commercial op activities at O3b on September 1, and related depreciation costs and financing charges. Finally, the effective tax rate for the year was 11.7%, below the end of our guidance and in particular benefiting from timing differences on certain projects, creating deferred tax assets along with certain U.S. tax credits. On Slide 20, which I think is familiar to everybody, we have an overview of the past and the projected CapEx. So firstly, these numbers and now calculated using our U.S. dollar/ euro rate of 1.2 versus 1.35 previously. The numbers that shown on our last call have also been updated to 1.2 to have a like-for-like comparison. So starting with 2004, the CapEx of EUR 347 billion was over EUR 50 million lower than previously foreseen. And also if you take the cumulative 2014 and 2015 CapEx, this is also EUR 30 million lower than our previous year. The increase in 2016 is due to the acceleration of one CapEx program, one of three we recently announced, which of course will also accelerate the revenue on this program. And cumulatively if we take the CapEx between 2014 and 2018, this remains in line with the previous guidance. We have also added 2019 as an extra year, which also means that the, as of yet uncommitted CapEx foreseen in this CapEx guidance to 2018 to 2019 now represents three satellites. Of all the investments has made minimum IRR rate of 10%, and as you’ve seen SES has a strong track record in achieving IRRs well above the 10% hurdle rates for new investments and this is due to our focus on financial returns. On Slide 21, all of this means that free cash flow before financing activities continues to be very strong and was maintained at 39% of revenue, with deleveraging delivering a 47% CAGR since 2011. And then on Page 22, last but not least, SES continues to have a positive growth outlook. As we discussed last year, 2015 is foreseen to be a year of low growth compared to 2014, with no incremental capacity to be launch and a lower level of transponder sales. This brings us to expected revenue and EBITDA growth of up to 1% for 2015 at constant FX. The three-year CAGR 2014 to 2016 is foreseen to be 3.5% to 4%, depending on the eventual launch date of SES-9 and important growth satellite, which is currently expected in the quarter two, quarter three timeframe. The launch timing of SES-9 is the only reason for introducing range to the three-year CAGR. EBITDA margins remain strong. We expect infrastructure margins to be well over 82% and that’s the services in the range of 14% to 18%. The effective tax rate is expected to be in the range of 13% to 18%. The share of associates’ loss mainly relating to O3b will increase as they are now actively commercializing their activities and the loss will reflect a full 12 months of operations in terms of depreciation and financing costs. And we will continue to keep our balance sheet leverage at the level consistent with our investment grade credit rating. The guidance as always is based on current health status and the launch dates, and it is also at constant FX. Now with respect to the stronger U.S. dollar at current rates, one cent dollar change versus the average of the prior year of 1.33 increases revenue by approximately EUR 8 million. It increases EBITDA by approximately EUR 6 million and it increases net profit by approximately EUR 1.5 million to EUR 2 million. And finally, we continue to foresee growth in free cash flow, which may be applied to further growth investments and the long-term delivery of shareholder returns. With this, I will hand back to Karim for some short remarks.
Karim Sabbagh: So as I said in the beginning, 2014 was a strong year in terms of the SES performance, both from a top line standpoint, from an EBITDA standpoint, but equally important how we’re executing on our strategy. It was also a very important year. For us it was a springboard in terms of launching operationally O3b, which is now into full motion. And at the end, we were able over 2014 to also set the stage for the recent investments that we have announced that will serve our business as of 2017 onward. So I suggest at this stage Mark is that we open the floor for questions.
Mark Roberts: Very good. Thank you, Karim. Thank you, Padraig. And Theresa, pleased to take on some questions.
Operator: Thank you. [Operator Instructions] We will pause for just a moment to allow everyone to signal. We will now take our first question from Nick Dempsey from Barclays. Please go ahead. Your line is open.
Nick Dempsey: Hi, good afternoon guys. I’ve got three questions. The first one, just regarding SES-9. I was reading in the press the Martin Halliwell sounded nervous about being first on the SpaceX new Falcon-9 rocket. Why would you take a risk on being first when that satellite is such an important driver of growth over the next 18 months? And just a little sort of follow-up to that. If SES-9 does launch, kind of, in the autumn, could we just simply assume that your three-year guided range of 3.5% or isn't all that straight forward? The second question, just on ASTRA 2G. Am I right that this will not be able to commence its main mission until for the back-end of Q2, and therefore we’ll have to wait until then for the remaining four transponders to be sold to Eutelsat, and therefore perhaps your first quarter revenue could be the worst of the year? And very lastly on O3b. High and negative contributions for your associates’ line. Is that a function of more OpEx O3b or lower revenues?
Padraig McCarthy: Okay. So maybe Nick, I’ll take - I guess you had three but you really had four. I can take two and Karim will take one. So starting on the last one on O3b. No, it’s not a function of higher OpEx or lower revenues. The business is expecting to become EBITDA breakeven towards the end of the year. But of course what happens during this year is that you will have 12 months of depreciation, and also you will have 12 months of financing costs, because you have to remember that during 2013 up until the September 1, all the financing costs will be capitalized. So it’s not a cash issue on financing costs purely holds accounted for. On ASTRA 2G, the answer simply is yes. So this will come into - normally expected to come into use towards the latter half of Q2. And then also the comparables will be very challenging for Q1 versus last year, because indeed we had four Eutelsat transponders in the sales in first quarter of last year and four in the second quarter. And this year, we just have the four in the second quarter. And then on your second question relating to SES-9, related to the guidance, I think simply yes is the answer to that as well. It’s an important satellite. It’s got 53 incremental transponders. And so it should be - see launch in Q2, which was their guidance at the end of October last year. That’s the CAGR of around 4%. If we see a launch going well into Q3, then that’s why we gave a range in the CAGR. And I hand back to Karim for the first one.
Karim Sabbagh: So Nick, I was with Martin when the question came up. We were having a meeting with the media, and he said, it is the question that we were in the process of answering. So that sort of statement took a light of its own. We have a very stringent protocol to validate all these sort of either new launchers or upgrades to existing launchers, and we’re in the process of doing this and he only reflected the approach we go from. And at the end of the thought process that he was meeting with his team, Martin came back to the management and re-endorsed the decision to be the first on the SpaceX rocket that particular acronym. So that’s really the background behind it.
Nick Dempsey: Okay. Thank you.
Karim Sabbagh: The next question.
Operator: Thank you. We will now take our next question from Laurie Davison from Deutsche Bank. Please go ahead. Your line is open.
Laurie Davison: Hi there. Yes, it’s Laurie from Deutsche. Thanks for taking the questions. The first one is just on O3b. Just wondering whether we are now - or whether you will be offering a new business plan details - an update to the business plan and valuation that you last gave in 2012 as we enter commercial service now? Second question is just on transponders or some of the comments that Eutelsat made, that they had seen cancellations of transponders from resellers to free-to-air channels on Hotbirds. Has there been any similar cancellations for you, and does your guidance incorporate any of those compression changes that Eutelsat was highlighting? Thanks.
Karim Sabbagh: Okay. Let me start - sorry, my voice is fading. Let me start with the second one. The answer is no, because our guidance reflects the compression evolutions on that we have communicated during the Investors Days back in June. So all of this is being factored. The answer to the first one is towards the end of the year, the privilege would be for at the O3b management to sort of brief back I think the media and the investment community in a broader sense on how they’re tracking against their business plan. What I can say is in fact is [indiscernible] medias, but they expecting revenue range between EUR 90 million and EUR 100 million for 2015. I’ve also stated in the presence of Steve in public briefings that we expect the company to be EBITDA positive during Q4 2014 or early 2016. And so that should give an idea I think as to how the business is tracking.
Laurie Davison: Okay. And in terms of more detailed view offered in terms of revenue targets per transponder, the number of satellites spend in the fleet and so on that you gave plus evaluation. Were you also be updating that at any point, or should we now expect that would perhaps make our own assumptions on that?
Karim Sabbagh: No, there are I think two dynamics here is one is the existing business and the existing fleet that we have and then during the course of this year, the O3b management will be having conversation with the board regarding the expansion of the O3b fleet. And once this announcement is made, it would be very clear as to what we are adding to the fleet and you can pretty much apply I think the levers that we have today collectively in terms of how this translate into revenues. So what I can share at this stage is that the traction is very strong. They have 36 clients or more. The number one mission is to bring these clients live onto the O3b system. And then it’s for the management to sort of give us their recommendation on the expansion of the fleets since this intent has already been stated very specific by Steve, and I’ve reiterated in earlier briefing, but that discussion will be made in 2015.
Laurie Davison: Okay. Sorry, last follow-up. It’s just, should we be expecting then the same multiples that you talked about the high range of EV EBITDA of 10x and the low-end of 6x. Is that still a valid valuation rate do you think?
Padraig McCarthy: [indiscernible] but you take up this with Mark and his team. Probably it’s going to be real convenient Laurie for you to have this conversation with them.
Laurie Davison: Okay. All right, understood. Thank you.
Karim Sabbagh: Okay. Thank you.
Operator: Thank you. We will now take our next question from Paul Sidney from Credit Suisse. Please go ahead. Your line is open.
Paul Sidney: Thank you very much. Just two questions please. Firstly, it was very interesting to hear you say that U.S. government demand had picked up towards the end of 2014. I was just wondering if you could give us a bit more detail in terms of the type of services contracted, and perhaps which part of the U.S. government was actually wanting that pickup in demand? And just secondly, we’ve seen recent press reports of Sky UK looking to potentially bring forward the launch of their 4K set-top box. Sky Deutschland said last week at your conference that they could potentially go into 4K channel by the end of 2015. I was just wondering over the past, sort of three or four months, have you been [ph] bit more domestic on the timing for mainstream 4K services? Thank you.
Padraig McCarthy: Yes. So it’s Padraig here. And just to deal with the - for your first question on U.S. government demand. I think we have to differentiate two things. So we first of all deal with new business. So during the course of ’14, we felt good traction in new business. Some of the examples have been announced is the Pathfinder contract that was signed, which is in the international markets. There was also some WIN-T, very good North American contract signed. Both of these contracts are multiyear contracts. So it’s a new way for doing business. And so when it comes to the, let's say the new business activity, this performed quite well during 2014. The challenge that we faced and on that one we [indiscernible] out of that, but we certainly have some pressure points in that for 2015 is more around the existing business and the renewals. And so overall business in the end of the year ended up pretty much as we guided in October. We were down about 14% year-to-year, and we expect some growth this year, but we continue to remain somewhat cautious in all of this, because even though the new business should actually looks nice, we still feel there is not the overall stability yet in the renewals and the ongoing business.
Karim Sabbagh: So on the first question regarding the 4K, let's quietly peg into one or two sort of points. One is, are there conversations ongoing with the important broadcasters regarding transponder capacity that would be dedicated to 4K? The answer is yes. These conversations are ongoing. Our expectation is that this would become main-stream in 2016, like on previous calls or conversations we’ve had in person, there are number of elements that need to come into place. The very good point here to note is that once consumers are exposed to a 4K experience, the sort of statement of intent to upgrade, to transition and to purchase into that proposition is very strong. So it exist to occur which is very good. The other elements are sort of the equation can supply sort of main demand, our view at the investor briefing back in June was that we will start seeing this in 2016. The standards are aligning. There are still, sort of incremental features that could come in the next six to 12 months, but we have today the standard and the features consider the launch in 2016 is going to be there. And what is also encouraging is that the pick-up of 4K screen is moving much faster than what we have seen. In fact with the transition when we were in the middle of a standard definition to high definition, the numbers that we are looking out is that in 2014, there was close to 12 million Ultra HD screens that were sold, two year after launch. And this is not much faster than HD. In fact it took six year for high definition TV screens, which were launched in 1998 to reach similar sales levels. And the last data point I want to share is during our Investors Day, we had talked about the fact that by 2020, we estimate that there would be around 20 Ultra HD channel and 100 million Ultra HD screens by just taking the screens elements. And if I take the pace of what was shipped and purchased end of 2014 year, without factoring any growth, will be already close to 90 million screens. So the elements are converting for 2016 reality, which explains the first statement I’ve made that there are already conversations with important broadcasters about transponders that will carry Ultra HD channels.
Paul Sidney: That’s great. Thank you very much. So can I just clarify that the 90 million and the 100 million please that you said, sorry. The 90 million screens was…
Karim Sabbagh: Yes. So what you’re seeing is if you consider that there was a total of 11.6 million ultra-high definition screens that were sold in 2014. That is 5% of the total shipment. If you consider that, that 5% will continue to apply to total shipments in the future, so we don’t assume any growth, you’re going to end up with a number closer to 85 to 90 million. And that gets you very close to the - if I estimate, we presented last year at the Investor Day, where we said our nominal hypothesis is that by 2020 there would be 200 Ultra HD channels and there would be 100 million Ultra HD screens in households.
Paul Sidney: So if Ultra HD screens are 95% of total shipments, then you’ll reach the 85 to 90 by 2020?
Karim Sabbagh: You will need the number of screens that we have estimated last year, which for me is a conservative estimate.
Paul Sidney: That’s great. Thank you.
Karim Sabbagh: If you and I are going out today to buy a new TV screen, I think it’s not going to be on the recent move to assume that we will end up buying a 4K screen.
Paul Sidney: That’s great. Thank you very much.
Karim Sabbagh: Thank you.
Operator: Thank you. We would now take our next question from David Cerdan from Kepler Cheuvreux. Please go ahead. Your line is open.
David Cerdan: Yes, good afternoon. David Cerdan from Kepler. I had few questions. First one is on O3b. You expect EUR 100 million of losses in ’15, but when do you expect losses to become positive or to be a breakeven? Second question, can you clarify the financials of O3b? So do you expect to reinvest some cash in this company? And secondly, is there a risk of impairment test on this investment? And the last question I have is regarding your outlook. If SES-9 is delayed from this year to next year for inaugural [ph], is there a risk on your guidance and at which extent? Thank you.
Padraig McCarthy: Hi. This is Padraig, David. So yes, since I have to deal first with your last question, we’re basically all focused on launch either towards the end of Q2 if it slips to Q3 where we’re really pushing that into early Q3. And I think beyond that we really don’t want to speculate on that one. We've given a range for the two quarters. We think that that’s the right thing to do, but beyond that I think it’s not really adoptive to start speculating about launches in 2016.
Karim Sabbagh: And I do appreciate, David that given the relation we have with SpaceX across our multi-launches, there is going to be, I think, a very strong sort of convergence of interest at this launch happening, either at the end of Q2 or within sort of the window of Q3.
David Cerdan: Okay.
Padraig McCarthy: Yes. And on the second question, David, on the O3b position. So first of all, on the risk - on an impairment, we don’t see that. I mean, the businesses is commercially now doing very well. The business is technically doing very well. I think it’s on the trajectory to actually deliver the results that both Karim and I have mentioned, and which the CEO of O3b himself has mentioned and that’s even happening earlier foreseen before. So all that is going very, very good. On your question with respect to the share of losses. On that one, we would continue to expect losses in 2017. That would be normal. I think that probably they are looking into the period ’18, but there are different factors that play there. There is also as a business develops, how can optimize this financing, there is all the different things that can happen. So really the guidance I would give you in that is the numbers I’ve given for ’15 continuing certainly to expect a loss in ’16 and then the losses should become much less as we get into ’18 and beyond. And there are different elements via financing and different things that can be done, that can also accelerate that process in terms of moving to profit.
Karim Sabbagh: And do bear in mind that as we think about this acceleration, as I’ve stated publicly already that would be the window for us to sort of consider the consolidation of O3b. And therefore we’d be in a position where we can sort of support all of these improvements, because at the moment we’re contributing across different parts of the business, but obviously with the fact that we have only one of many shareholders.
David Cerdan: And then sorry, maybe you missed - my portion of my question was about do you think that you will have to re-inject cash to finance the company?
Karim Sabbagh: Yes, so what I’ve mentioned earlier is that Steve is in the process of considering the question of fleet expansion and he has already stated this publicly - Steve Collar, who is the CEO. And that consideration is for 2015. So 2015 will be the year where we’ll place the order with the expectation that during the runway of 2017 we would launch that. And once this decision is made, we could expect that there would be additional capital that would be injected to support that expansion. What we have already observed is that with every single clients where we have placed the service, so the beam ones provided, immediately there was very significant increase in the level of data consumption. So the run-up of level of state of whatever measure of bandwidth you’re using is going up very rapidly, and therefore Steve needs to very quickly now think about how to expand the fleet beyond the 12 supplies we have today.
David Cerdan: Okay. Thank you. And if I may just clarification on two satellites. SES-14 and 15. Did you give us the number of transponders?
Padraig McCarthy: Yes, some details in the presentation. If you turn to slide - if you turn the future launches slide, which is - well, Slide 12.
David Cerdan: Yes, will the incremental.
Padraig McCarthy: So you see in Slide 12, you see the incremental transponders. If we look, for example, at SES-14, it brings 48 transponders because it’s replacing NSS-806. It also brings six extra Ku and two extra C-band, so eight incremental which is what you see there. If you look at SES-16, I mean, its pure expansion. So it brings 68 extra transponders. You see that on the chart as well. And if you look at SES-15, you see SES-15 also is bringing an incremental ’16 transponders. The other point that’s very important is of course these are hybrid spacecrafts, so we’re speaking here about traditional Ku, C-band, but these are hybrid spacecrafts. So in addition it’s bringing - these satellites combined are bringing and you see that in Slide 12, 36 gigahertz of additional HTS total capacity on top of the numbers I just gave you.
David Cerdan: Okay.
Karim Sabbagh: Thanks. We will take the next question please.
Operator: Thank you. We will now take our next question from Emmanuel Carlier from ING France. Please go ahead. Your line is open.
Emmanuel Carlier: Yes, hi. Good afternoon. I still have one question left. With your current CapEx program, what kind of sales and EBITDA CAGR do you actually expect over the periods 2014-2020, because if I look at utilization rate, yes, it’s coming down quite a lot versus historical standards? And secondly, you are growing mainly in the international region, EBITDA margins are still, I guess, substantially lower. So that’s the question. Thank you.
Padraig McCarthy: Yes. So maybe just on that one, but just to start with the last comment on the financial markets. We don’t - so if you look at our overall numbers, I think right now international were something like about 29% of our total revenue. And as I’ve said before and in our Investor Day and you even see it more this time around is when you look back to couple of years ago with maybe 20%, since then we’ve increased the overall infrastructure margin by over 2 percentage point. You see another word very important increase in the infrastructure margin this time around. So it’s not a direct correlation as we’ve grown international but margins are going down. In fact what you see is as you grow in international margins are going up because you not only have to deal with the average price for transponder but you have to look at how we’re designing these satellites, optimizing these satellites and you have to look at the combination of the volume we’re getting in terms of the revenue and the price per transponder we’re getting. And even then when you look to the ever since retirement pf debt of capital, all that sort of attractive because in parallel with the type of spacecrafts we’re launching in the hybrid spacecrafts the costs per megahertz, or in the case of HTS, the cost per megabit is also going down. With respect to the wider question about looking out over ’14 to ’20, I mean, we will update next year moving forward three-year guidance. I wouldn’t really want to preempt that now. What I can say is similar to what I think we said previously is that when you look more holistically at the type of CapEx profile we have here, and the dividend that we’re paying and we’ve declared a 10% increase in the dividend this year, which is something we will stress test also going forward. And when you look at all of that and I’ve said that previously, and you look at where we are on the leverage, which is temporarily just been high because of the dollar, we see out over that period of 2018/2019 the ability to generate overall financial headroom and we see the numbers that we’ve mentioned before and that’s somewhere around $2.8 billion to be still the relevant numbers in all of this. And so we’re now getting into very precise revenue guidance that we would like to go ahead.
Karim Sabbagh: Yes, look, this is one way to think about that over the period of December ’12 to December ’14, our total channel count went up by 18%. If you look at the similar sort of period and you look at the revenues for media, so I’m talking channel count media business. If I look at the revenues, the revenues went up by 12%. So you may look at this and say, there is naturally the impact of operating in emerging markets and this is reflective on this. But the fact of the matter is because we’re constructing, we’re producing all our programs much more cost efficiently. And in fact, Martin, our CTO during the Investor Day referred to the 20% to 30% cost improvement in our programs, our margins are being maintained, if not improved. If you look at the same comparable to peers in the industry, you’re going to see that the ratio of revenue realization to channel count realization is much, much lower. And we already said that the operational optimization is a number one target for us. And for us to sort of have the live operating model in the emerging market is going to be the, sort of, the secret source for us to be succeed there and retain the margin. So in period we would be able to do that over the past few years and certainly that is the intent over the next three years.
Emmanuel Carlier: And is there any reason to expect that the utilization rates will be substantially below the 80% that we have seen, I think in 2006, 2007?
Karim Sabbagh: Yes, look you have to have a nominal objective for the utilization rate, but you also have to have a nominal objective as to where you want your revenues to grow at what pace. And so as long as we were growing revenues and our utilization rate in a commensurate manner, that is going to be the most efficient way of serving the interest of the company of the shareholders. So could we expect it to be up by ’18? That is certainly part of our five year plan. So that’s how we look at the business. But we need sort of pace the progression of these two. And again I invite you to sort of do the analysis within the industry so that you can appreciate the importance of what I’m referring to.
Emmanuel Carlier: Okay. Thanks a lot.
Karim Sabbagh: Sure.
Operator: Thank you. We will now take our next question from Sami Kassab from Exane. Please go ahead. Your line is open.
Sami Kassab: Good morning, gentlemen. Can you please remind us of how much revenues do you generate from legacy point-to-point applications? And is your three-year revenue guidance assuming any growth in revenues from such applications as tracking all the point-to-point, please? Secondly, what is the design life of SES-9, 12, 14 and 15, your new all electric satellites. Is it materially more than the 15 years for the non-electrical ones? And lastly, can you comment on industry capacity over Latin America, given all the launches over LatAm, what are the risks of the industry turning into overcapacity like in Africa? Thank you.
Karim Sabbagh: Okay. So let me take in no particular order. So on the question, the nominal lifeline of the new satellites. So we always do these business line on the basis of 15 years. Certainly the expectation is that we have the new technology, the electrical propulsion. There would be longer run rate, but just for you to know how we’re modeling this. And it is for us the best to me the minimum IRR that has already been communicated in our previous conversations. When it comes to Latin America, the interest for us is very particular applications targeting very particular markets. So if I take the example of SES-14 and 15, these two programs on the one hand, particularly SES-14, is addressing a sort of very important market from a video standpoint, but equally important is serving along with SES-15 a very important platform when it comes to mobility, with an emphasis on aeronautical mobility. They work well together. So if you saw looking at programs with the perspective of the markets and the applications, then the whole discussion about overcapacity, under-capacity becomes a secondary point. And the way we’re looking at this is, you have to bear in mind, each one of our programs, whether it’s particularly the new ones is proceeded by an existing program. So we place the satellite, we develop the markets, and it’s only then that we place the order for the new satellite. So we already have validated this. In the case of SES-14 and 15, in fact these programs were launched and sort of commissioned, not only within existing business, but with the commitment of new clients. And one of them, as already announced in the media was, Global Eagle Entertainment for the mobility services. So your point may apply in some region, but that is not sort of the thought process that you want to go to in terms of supply-driven conversation. You had another question?
Sami Kassab: Yes, thank you. It was on the legacy point-to-point revenue, or point-to-point application and the revenues you generate from point-to-point applications and how you assess that going forward?
Karim Sabbagh: Yes. For us, this is a very small part of our business. I mean, data in general, which includes also tradition mobility services from maritime would be around 20% for business and point-to-point, so trunking and backhauling is relatively very small, which is why from our perspective when we initiated our investment in O3b, that solution was the more efficient solution, both from sort of an end-service experience to the customer and also from an cost efficiency standpoint, since it’s being offered at the much more favorable terms and traditional point-to-point sort of capacity over GEO-based satellites.
Sami Kassab: And can I come back to one point you made that, I’m not sure I understood, with regards to the design life of the new satellites. Am I right to understand that what you said is that you base your modeling to get to your 10% IRR or more on a 10-year lifetime?
Padraig McCarthy: No, on a 15-year lifetime. So when we do our sort of business cases, the satellite is there for 15 years. Our experience with almost all our satellites is they would span that lifetime even more so our expectation is more pronounced with all electrical propulsions.
Sami Kassab: Do you want to quantify how many additional years you can get out of electrical propulsion?
Padraig McCarthy: Not at this stage.
Sami Kassab: Thank you.
Karim Sabbagh: Thank you.
Operator: Thank you. We will now take our next question from Tom Singlehurst from Citi. Please go ahead. Your line is open.
Tom Singlehurst: Yes, good afternoon. It’s Tom here from Citigroup. I had one question actually with respect to the paragraph you put in the release on satellite health and solar array circuit failure. You mentioned that there was some further power degradation in AMC-15. I was just wondering whether you could just quantify the, sort of, inadvertently kind of total risk associated with solar array circuit failures, either in transponder - number of absolute transponders or even revenue? I’m sure you’ve done that before but...
Karim Sabbagh: Yes, this is an important question and we always sort of have our model to, sort of, simulate these kind of behavior. The one that we reported in our press release refers to a particular generations of satellite. So that sort of potential vulnerability was known to us and it was part of sort of simulations. And whenever they manifested themselves in the spirit of proper disclosure, we’ve communicated this to the market. But in general, it’s really the generation of satellites that we have sort of commissioned in more recent years and the one we’re doing are much more robust and sort of they are not - they are much less prone to these kinds of vulnerabilities.
Padraig McCarthy: And for just to add, Tom, the one or two recent announcements have been relating to AMC-16 and AMC-15, both of these satellites are going to be replaced and SES-11 is currently in procurement to deal with these. And so overall I think that the situation with the solar arrays certain issues in certain satellites has changed significantly over the last number of years, because replacement capacity has come up, in case of capacity being launched, there is alternative capacity there and we tend to only have this discussion around or two specific satellites. And so I think in that sense it’s not the same type of level of exposure in total as we might have been a couple of years. So significantly we’ve de-risked since then.
Karim Sabbagh: Thank you. Theresa, we’ll take one last question before closing please.
Operator: Thank you. We will now take our last question from Sarah Simon from Berenberg. Please go ahead. Your line is open.
Sarah Simon: Yes, hi. Sorry, I have two questions actually. First one was on O3b. You talked previously about the kind of various boxes that need to be text before taking control. I think the last one was basically demonstrating that it can hit EBITDA positive and you seem to be pretty convinced that it can do that now. So does that mean we should be thinking about, sort of, more imminent move to taking full control of that? And the second question was on the guidance. You’re kind of suggesting that margins would be flat this year on last year. You’re obviously going to have a less transponder sales revenue, and I assume that services will continue to grow faster than infrastructure. So how does that look in terms of margins? Do you find some of the cost efficiencies in the business? Thanks.
Padraig McCarthy: Yes. So Sarah, shifting on the margins first. So our guidance - and we’ve had this discussion in the past. Our guidance continues for the infrastructure margin to be greater than 82%. Clearly what we’ve seen in the last number of years is that we are growing above the 82%. Big factor has been the management of overall costs. I mean, if you look at our numbers, the costs increased very slightly and that’s the variable cost of sales. So we will continue very much. We have a good operational optimization now and that will roll also into future years. On the services side, it is true that there is good growth in services, but again what I expanded earlier is that we do show the margin and services are charging the bandwidth, because I think this is a good way to see the value-added, but the services are driving a significant amount of bandwidth. And when you back that out, the EBITDA margin on the services is well above 50%. And so the growth of services in itself does not necessarily mean that it can have a very significant effect on the margin. And then also, the most important thing on the margin is that we have a really good operational optimization, which has allowed us to pretty much, when you back out variable cost of sales, keep our costs flat. And that optimization is there and effective and going into next year.
Karim Sabbagh: And Sarah on your first question, the answer is yes. As we take the final box towards the end of this year early next year, then we’re going to be in a position to sort of move to the next level on O3b.
Sarah Simon: But you’re not prepared to go to that level until you’ve actually seen it on papers as opposed to, let's say, in a spreadsheet?
Karim Sabbagh: No. Look, I mean we’re an engaged shareholder. So we’re - and Steve has done tireless job with sort of the shareholders and directors on the board keeping us updated. So I don’t think it’s a spreadsheet thing. What I’m referring to is what I was exposed to along with my fellow directors on the board. And so the window of Q4 2015 and Q1 2016 is pretty much visible to us now.
Sarah Simon: Great. Thanks.
Karim Sabbagh: Well, just in final remarks. Thank you very much everybody for joining us today. We appreciate your engagements and your questions, and wish you a very good weekend. Thank you.
Operator: Thank you. That will conclude today’s conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.